Operator: Greetings, and welcome to the Five Point Holdings, LLC First Quarter 2025 Conference Call. As a reminder, this call is being recorded. Today's call may include forward-looking statements regarding Five Point's business, financial conditions, operations, cash flow, strategy, and prospects. Forward-looking statements represent Five Point's estimates on the date of this conference call and are not intended to give any assurance as to actual future results. Because forward-looking statements relate to matters that have not yet occurred, these statements are inherently subject to risk and uncertainties. Many factors could affect the future results and may cause Five Point's actual activities or results to differ materially from the activities and results anticipated in forward-looking statements. These factors include those described in today's press release and Five Point's SEC filings, including those in the risk factor section of the Five Point's most recent annual report on Form 10-K filed with the SEC. Please note that Five Point assumes no obligation to update any forward-looking statements. Now, I would like to turn the call over to Dan Hedigan, President and Chief Executive Officer.
Dan Hedigan: Thank you. Good afternoon, and thank you for joining our call. I have with me today Mike Alvarado, our Chief Operating Officer and Chief Legal Officer, Kim Tobler, our Chief Financial Officer; and Leo Kij, our Senior Vice President of Finance and Reporting. Stuart Miller, our Executive Chairman, is joining us remotely. On today's call, I'll update you on our Q1 results and review the status of the company's current operations, including our team's focus during the quarter and our strategic priorities and expectations for the remainder of 2020. Mike will then discuss the growth element of our operating strategy, after which Kim will give you an overview of the company's financial performance and condition with updated guidance for the remainder of 2021. We will then open the line for questions. Turning to the first quarter. I'm pleased to report another successful quarter for Five Point, as we continue to build a program of consistent profitability. During the quarter, we generated stronger-than-expected net income of $60.6 million, which exceeded our guidance by roughly $10 million. Our Q1 results reflect our continued focus on generating revenue, controlling our expenses and managing our capital spend. Here are some additional highlights from the quarter. First, our Great Park Venture growth on all four of our anticipated residential land sales. These programs included 325 homesites on approximately 23.6 acres to three different builders for an aggregate purchase price of $278.9 million. Second, as a result of the Great Park operations during the quarter, Five Point received $143.3 million, as this portion of distribution and its incentive compensation payments. Third, we finished the quarter with total liquidity of $653.3 million comprised of cash and cash equivalents, totaling $528.3 million, an increase on our cash over year-end of $97.5 million and borrowing availability of $125 million under our unsecured revolving credit facility. Alongside our successful first quarter, I'm also happy to report that we received an upgrade in our credit rating from S&P. In recognition of our consistent earnings, cash generation and management of overhead, the company moved from B- to B with a continued stable outlook and our senior notes are upgraded from B to B+. As we look ahead to the remainder of 2025, we recognize that we are currently navigating a challenging economic environment with market uncertainty created by shifting tariff policies, higher mortgage rates and associated affordability issues. Our job is to filter out the noise and stay focused on underlying economic data at both the national and local level. While we are carefully monitoring results reported by the national homebuilders, I understand that several are experiencing reduced margins. Our communities are located in California markets that are chronically undersupplied, primarily due to California's challenging and restrictive land use approval process. Our recently closed sales, including one this past week at the Great Park, our continuing evidence as there remains strong demand for our home sites even with builders facing the uncertainty of current market conditions. Notwithstanding, this uncertainty, we believe it is still an opportune time to move forward on the implementation of growth initiatives to complement our three existing communities. These growth initiatives will build upon the operating strategy, we have been executing on for the past few years. Mike will go over few more remarks about that strategy shortly. Let me turn briefly, however, to our current operating strategy. The key elements of this strategy are, one, we're optimizing home site value within our existing three premier master plan communities for matching home site sales to current homebuilder demand. Currently, homebuilder demand remains steady, and we continue to maximize the value of our land and maintain the margins embedded in that value. Two, we are carefully managing our fixed costs and overhead even while we pursue growth opportunities. We're also constantly looking to reduce or mitigate some of the fixed costs that come with these larger master planned communities, and we're maintaining the lean operating structure that has defined Five Point for the past few years. We're matching development expenditures with revenue generation. Each new development area within our existing communities is analyzed from a construction phasing standpoint as we work alongside our public partners to deliver our infrastructure, so that we are not deploying cash too far out in front of the needs of the development. Finally, we are seeking growth opportunities through new acquisitions, joint ventures and strategic relationships to ensure a growing future for Five Point. Our focus remain on these strategic elements of our operating platform as we produce recurring earnings along the sustainable long-term growth. With that said, while we know there might be some uncertainty from time to time, we remain confident in our current year expectations. My last call indicated that we were expecting that our earnings for 2025 would exceed 2024 and that we anticipate close to $200 million in net income with obvious caveats regarding the timing of development processes within the County of Los Angeles. We currently believe that we are on track to meet our prior guidance, while we will continue to monitor evolving market conditions as the year progresses. Kim will provide more detail on our guidance for the remainder of 2025 during his remarks. I'd like to now touch on market conditions. Although the Federal Reserve has cut rate by 100 basis points since September, recently announced tariff policies have created upward pressure on interest rates and inflation with key mortgage interest rates moving mostly higher since the end of the quarter. Consumer sentiment is also being negatively impacted by the uncertain surrounding tariff policies, which impacts consumer decisions on new home sales. Most of our guest builders still have the ability to facilitate sales, we have seen a modest decline in the pace of sales over the past few weeks. Although interest rates and consumer sentiment are key data points in the housing market, Five Point's California market has generally remain chronically undersupplied, and we are actively engaged with our guest builders on new home site sales. Let me now provide you with some updates on our communities, starting with The Great Park Neighborhoods. As a reminder, The Great Park is the most mature of our communities and its ongoing contribution to our financial results reflects the benefits that we and our Great Park Venture partners are receiving from the investments made in this community in prior years. During the first quarter, builders in our Great Park communities sold 233 homes versus 143 homes in Q4 of 2024. We currently have 15 active selling programs in the Great Park Neighborhoods with five additional programs planned to open later this year. With the existing and future planned programs, we'll be able to continue to offer a wide variety of housing options in Great Park Neighborhoods. In addition to our continuing home buyer interest, we are still seeing demand from builders for our land at the Great Park. All of the five residential programs are previously identified as expected to close in the first half of 2025 have now closed escrow with the last sale closing one week ago. We have also completed the bidding and contracting for a group of nine new residential programs being sold to six builders totaling 572 home sites. These builders have completed the due diligence with the expectation that these land sales will close in the fourth quarter of this year. The contracted sales prices are consistent with our most recent sales. As I mentioned last quarter, the City of Irvine completed a state-mandated Reno General Plan and zoning updates for the Great Park planning area, which will provide the Great Park Venture with the opportunity to convert some or substantial portions of its remaining commercial land holdings to residential uses. We're continuing to study these options and are an ongoing discussion with the city to consider residential uses consistent with the Reno program adopted by the city. Next, I'll move to Valencia, our other active community. As a reminder, Valencia is in the early stages of its development and sells many future phases of land delivery ahead of it, which will enable us to provide much-needed housing in the Los Angeles market. During the first quarter, home sales remained relatively steady as our guest builders sold 69 homes versus 74 in Q4. We currently have seven active signed programs in Valencia. Additionally, we anticipate that another five programs were open during 2025, offering a greater diversity of home offerings for prospective home buyers. During the first quarter, we took two new communities to market, totaling 159 home sites, and we're working with two builders to finalize their due diligence preparing to binding purchase and sale agreements. We currently anticipate these sales will close towards the end of the year. We also continue to work with Los Angeles County and other agencies on our regulatory approvals for our next development areas in Valencia that will allow us to deliver thousands of additional home sites in the county severely undersupplied market. In total, these development areas are expected to consist of approximately 8,900 market rate home sites and 183 net acres of commercial land, approximately 139 of which is expected to cater towards industrial-focused uses. Additionally, given the recent loss of dwellings LA County wildfires, we expect greater cooperation from the officials and developers expedite more housing supply to help mitigate the shortage. Turning to San Francisco. As you may remember from our last call, the city and county and other applicable regulatory agencies gave us final approval to rebalance the entitlements between our two San Francisco communities, Candlestick and The Shipyard. We're currently working on our engineering for the next phase of infrastructure with the expectation of starting construction early next year. As we work on these plans, we continue to explore opportunities to bring in a strategic partner for this mixed-use [indiscernible] community. Let me conclude by saying that while the housing and financial markets are adjusting to new policies and consumers are trying to gauge the impact of these policies on their home buying decisions, we will remain focused on prudently managing development and sale of land within our master plan communities. Land is still about location and scarcity. We have well-located land in an extremely supply-constrained market. In addition, our balance sheet and liquidity have us well positioned to work through the current market conditions and to preserve the value of our land holdings, while we opportunistically explore growth opportunities. Additionally, we remain ever focused on managing costs and controlling overhead as we grow our business in an efficient manner. Now, let me turn over to Mike who will discuss Five Point's growth opportunities.
Mike Alvarado: Thanks, Dan. Let me briefly update you on our efforts in pursuing growth opportunities for Five Point. As you heard us report on our last call, the landline strategy that a number of publicly traded home builders have gravitated towards, has given Five Point the potential opportunity to work alongside the builders in a win-win scenario that would allow the builders to follow their land-life strategy and Five Point to play to its strength in a land development business. To that end, we have been assessing acquisitions that fit into both short-term and mid- to long-term land delivery models. In uncertain market conditions like we have today, unique opportunities often present themselves around land that can enable Five Point to create outsized returns. Five Point is uniquely positioned to do this, given its expertise and experience in a land development business. Regardless of the size and projected development timeline for new acquisitions, like many of the public builders, we intend to acquire new assets in an asset-light structure where we are bringing in third-party capital in a joint venture arrangement that will allow us to expand the reach and diversity of our platform. As I have mentioned previously, this model is one in which we would own an equity interest in the venture, provide management services to the venture, and have the ability to earn an incentive-promoted interest for excellent performance. Bringing in capital partners reduces our capital investment and gives Five Point opportunities to move to an asset-lighter balance sheet model under a well-crafted partnership program. It is not lost on us that capital may be slow to make investment decisions in this current environment, but the need and demand for housing in many job centers around the country will continue to drive the deployment of capital into this market segment. Capital also likes to invest with companies whose management teams have extensive experience with embedded systematic financial and operational controls that can be trusted when investing their capital. Five Point has the management experience and expertise, along with public company-level financial and operational controls, which can and has led to extraordinary achievements like what we are seeing with our existing Great Park Venture. Indeed, the Great Park Ventures members have seen rising returns over the last several years, driven by a combination of our management of the asset and the active engagement of the partners. We believe this is a business model that we can take advantage of as we look at other opportunities for future growth of the company. While we don't have any transactions to report at this time, we still anticipate sharing new opportunities with you before the end of the year. Now, let me turn it over to Kim to report on our financial results for the quarter.
Kim Tobler: Thank you, Mike. As Mike and Dan have shared, we are proud of how we concluded our first quarter by exceeding our guidance. Well, at the same time, we've been monitoring the markets closely as we look forward to the coming quarters and our land development activities and anticipated land sales later this year. First, as Dan noted, S&P recently reviewed our credit rating and determined it was appropriate to improve our ratings. I appreciate the time and effort S&P put forward to understand our structure and strategy and the confidence they have expressed in our ability to execute on our plans for the next 12 months. I'm now going to review our first quarter financial results. Then I will conclude by updating the guidance of what we are expecting for the remainder of 2025. In the first quarter, we recognized $60.6 million of net income. This is made up of the following components. We recognized $71.4 million of equity and earnings from our unconsolidated entities, $70.9 million of which came from the Great Park Venture. The equity and earnings from the Great Park Venture was attributable to net income of $206.3 million, which resulted from land sales revenue of $278.9 million and add a 75% gross margin. The venture also had $6.4 million of price participation in Papa [ph] revenue. Five Point added $12.6 million of management services revenue, $9.2 million of which is associated with the incentive compensation from the Great Park. Our first quarter SG&A was $14.8 million. And finally, we recognized $9.5 million of tax expense. Now, a few words about our liquidity and cash. As Dan mentioned, we ended the quarter with $528.3 million of cash, as well as $125 million of availability on our revolving credit facility, resulting in total liquidity of $653.3 million. At the end of the quarter, our debt to total capitalization ratio was 19.2%, and our net debt is effectively zero. During the quarter, we generated net cash flow of $97.5 million, the significant components of which were cash inflows of $112.9 million from the Great Park Venture distributions and $30.4 million from incentive compensation payments. This was offset by project-related costs at Valencia and San Francisco and SG&A cash outflows of $51.1 million combined. The remaining net positive cash flow of $5.3 million was miscellaneous sources. Now let me update the guidance that I gave you concerning our expectations for the remainder of 2025. We currently expect to have just under $10 million of net income for the second quarter with the balance of our anticipated earnings weighted towards the end of the year. You'll recall that we previously indicated that we expect to have net income for the full year of close to $200 million, with the caveat that processes within the county of Los Angeles would function as we hoped going into the year. While there is plenty of noise in the markets, we have not had any indications that would cause us to modify our guidance at this time. As it relates to our cash and senior debt, we are continuing to monitor the debt markets and the economic environment generally, and we remain ready to affect a refinance transaction for our senior notes including a pay down of principal when we deem it prudent to do so. With that, let me turn it back to the operator, who will now open it up for questions.
Operator: Thank you. We will now be conducting a question-and-answer session. [Operator Instructions] Our first question comes from the line of Kenneth Pounds with Castlebury Advisory. Please proceed with your question.
Kenneth Pounds : Good afternoon gentlemen and very good quarter. The governor mentioned that perhaps there'd be some layers of regulation taken off or some speed up because of even the more acute housing situation? Would that potentially benefit your two developments?
Dan Hedigan: Kenneth, thanks for the question. The answer is absolutely. Anything we can do to expedite process in California is supportive of us delivering housing.
Kenneth Pounds : Is there anything like finite on there? Have you seen any like changes in rules or timelines?
Dan Hedigan: There's been a lot of discussion in Sacramento, but we haven't seen anything concrete yet. But there also is a lot of legislation this year because there is an increased focus every year on the lack of housing supply in California. So I don't have anything today I could share with you, there is a lot of activity that we're monitoring of Sacramento.
Kenneth Pounds : Great. You talked about San Francisco, I guess, starting next year. Do you have -- when would you perhaps have some CapEx plans or more of a budget for next year for that?
Kim Tobler : Yes. Kenneth, we'll like -- this is Kim. We'll likely start giving some insight on that towards the end of the year, early next year.
Kenneth Pounds : Great. Okay. Thank you.
Operator: Thank you. Our next question comes from the line of Ben Fader-Rattner with Space Summit Capital. Please proceed with your question.
Ben Fader-Rattner : Hi. Just for the record, I'm calling a personal capacity, not for any firm. So your -- you had cash roughly equal to your debt, every week that goes by, there is a drag that cost shareholders' money. Why aren't you being more proactive in reducing the debt while you wait for market conditions, I just don't see the point of sitting with so much cash right now when you have a negative carry. Can you comment?
Kim Tobler : Yes, Ben, this is Kim. The challenge that we face is the 200 basis point cost of paying down the debt. And there was a short period of time when it made -- it seemed to make sense if we could have refinanced at a lower rate. But given the way the markets have moved, it doesn't seem prudent until that premium is removed late in the year. So just to say, as we said, we're monitoring the markets. We recognize that it is a bit of a carry, but we're also earning quite a bit on the cash we're in a good return. We're earning over 4% on the money we have. And that's that 200 basis points on the full amount makes a very significant dent in the ability to do that. So we’re looking at it.
Ben Fader-Rattner : But on that point just to push back. I mean, you can earn about 4% on cash. It costs you over 10% in coupons. So you're spending $30 million of negative carry. The cost to take that out would be $10 million. I mean, I'm not suggesting you take out the whole thing, but I just -- the math on taking out some of it now, I think, is accretive. I don't see why you would incur a six-point delta for seven months when you can take it out right now at 102. It just -- it seems like cost effective to do so. But I wanted to go on record saying that.
Dan Hedigan: Yeah. I appreciate it, Ben.
Ben Fader-Rattner: So in terms of just the Great Park land sales that you did, it's amazing the numbers just keep going higher. It looks like it was around $12 million per acre for this last land sale. When you say that the additional land sales will be in line with what occurred, just to be clear, you're saying that $12 million is now the future number? Or is it kind of the $10 million that you had talked about previously?
Dan Hedigan: Ben, this is Dan. The blended number on the last four sales that closed where I gave you the information revenue is about $11.8 million. We are still seeing sales in that area. I would not start suggesting that $12 million is the new standard, but our most recent sale and other bids we have out there are consistent with that $11 million number.
Ben Fader-Rattner: Okay. And then just in terms of the commercial land and the ability to -- or the potential ability to convert it into residential, -- what do you think the timing looks like in terms of having the go-ahead from the city of Irvine to re-entitle that land for residential purposes?
Dan Hedigan: Ben, we're in kind of ongoing discussions on that topic, and I don't think I can really put a time frame for it. Just know that we are actively involved looking at it. And we'll have more information later this year.
Ben Fader-Rattner: Okay. All right. Great. Thank you. Appreciate it. Great quarter.
Dan HediganK: Thank you.
Operator: Thank you. Our next question comes from the line of Andrew Oaken [ph], a private investor. Please proceed with your question.
Unidentified Analyst: Hi, guys. Thanks for taking my call. And I apologize if I can find this somewhere in the 10-K. But how much commercial land do you have left entitled in Irvine as far as acres?
Dan Hedigan: We have -- I'm doing the math. We have 100 acres of commercial land between four sites that we constantly look at, we call it lots 2, 7, 10 and 11.
Unidentified Analyst: Okay. And there would be some, obviously, that couldn't all be sold in this way, there would have to be some left for open space and stuff like that. Is that fair?
Dan Hedigan: Well, those are actually -- all of our open space and other obligations and that type of land have already been met through other obligations. So these are gross acres, though. You don't get 100% efficiency in the sense that you do have streets, parks, some other things that would go into them on a residential basis.
Unidentified Analyst: Okay. Are you willing to give what -- was that like 80% or something or not enough?
Dan Hedigan: Generally speaking, I just, as a matter of course, use 85% efficiency.
Unidentified Analyst: Okay. Thanks a lot. Yeah. Great quarter. Thanks a lot for answering my question.
Dan Hedigan: Thank you.
Operator: Thank you. Our next question comes from the line of Myron Kaplan [ph], a private investor. Please proceed with your question.
Unidentified Analyst: Hi, Kim. How are you?
Kim Tobler: Doing well, Myron.
Unidentified Analyst: So really, The Great Park is the gift that never stops giving.
Kim Tobler: Absolutely. We're very grateful for the work that's been done there.
Unidentified Analyst: Yes. Super. Very good quarter. So I guess, the plan is at the end of the year, a refi than finally, like you said where you'll wait for the 2 points to come off.
Kim Tobler: Yes. If the markets are open. If you've been following the high-yield markets, it's a bit challenging out there right now.
Unidentified Analyst: Well, you could pay off the bond and probably work a very small issue of $200 million to $250 million, and then you have the revolver in your business.
Kim Tobler: Yes, we're looking at all those options, Myron.
Unidentified Analyst: Yes. I mean I don't see how the market is going to refuse you. Any way very good. I guess, lens, you're going to try to gear up.
Kim Tobler: Yes. We're trying to get a reasonable pipeline that gives us the strength to have multiple years of product available to give us a longer pipeline, and we're working hard on that process.
Unidentified Analyst: Do all of the Palisades fires or sees that augment the thrust behind it? Or is it everything kind of frozen?
Kim Tobler: Well, I think that the fires -- the recent fires have created need. We're still sorting out the impacts it has on the government approval processes.
Unidentified Analyst: Okay. We'll patient and I guess San Francisco is work in progress.
Kim Tobler: It is, but we'll have more to say about that later in the year as well.
Unidentified Analyst: Okay. Well done. Thanks.
Kim Tobler: Thanks, Myron.
Operator: Thank you. And we have reached the end of the question-and-answer session. I would like to turn the floor back to Dan Hedigan for closing remarks.
Dan Hedigan: Thank you. On behalf of our management team, we thank you for joining us on today's call, and we look forward to speaking with you next quarter.
Operator: Thank you. And this concludes today's conference, and you may disconnect your lines at this time. Thank you for your participation.